Mike Fraser: Good day, everybody and welcome to Gold Fields’ 2023 Financial Results Presentation. For those of you that I haven’t yet met, my name is Mike Fraser and I have been CEO of Gold Fields since the January 1, 2024. I took over from Martin Preece, who was Interim CEO during the course of 2023 and I want to thank Martin again for his contribution over the past 12 months. We distributed our results book earlier today. And if you haven’t seen it, it is on our website at goldfields.com. On the first slide of this presentation is a photo of the Brecha Principal pit at Salares Norte. And it indicates a significant amount of activity that has taken place over the past 2 years in mining the ore body. And that’s enabled us to have 520,000 ounces of contained gold in our stockpiles ahead of processing at our processing plant in construction. If we go to the next slide, please take note of our forward-looking statement, which you can peruse on our website. Just moving on to the next slide, which is our agenda. Our agenda for today, we are going to go through the 2023 overview. I’ll talk about safety and sustainability in the business, an operation overview and update on Salares Norte. Paul will take us through the financials and then we will end with guidance for 2024. Just moving on to the next slide. I believe Gold Fields offers a very strong value proposition. We have a very clearly defined and well-executed strategy consisting of our three pillars that have been clearly communicated previously. We have a geographically diverse portfolio in attractive mining jurisdictions. The addition of Windfall last year was a significant improvement in the portfolio. And we have a track record of meeting cost and production guidance. In 2023, we again achieved cost guidance and were achieved 99.7% of our production guidance. We are in a fortunate position of having a quality pipeline of projects in Salares Norte, which is a world-class deposit in the Northern Atacama desert. The proposed Tarkwa-Iduapriem JV in Ghana, which will create one of the largest gold mines in Africa and the Windfall project in Canada, which is again a high-quality project in Quebec province, which is a very attractive mining jurisdiction and more of this later in the presentation. What is important is having a disciplined capital allocation methodology and an approach. Our first priority in our capital allocation is investing in safe and reliable production at our assets. We also have very much focused on ensuring a strong balance sheet to maintain an investment-grade credit rating in the business. We have had strong financials clearly also supported by strong tailwinds in the gold price and we have sound debt levels that is at below 0.5% of net debt to EBITDA. Next to be funded in our capital allocation profile or shareholder returns in the form of a base dividend in line with our policy. And thereafter, we want all opportunities to compete and that is based on returns and positive returns to the business. Our focus here is for 2024, including materially improving our safety performance. I’ll talk a little bit about this later, but 2023 was a very big disappointment. Ensuring that predictable delivery of our operating plan, taking steps to mitigate the recent negative cost trajectory into future years and deliver on our clear portfolio initiatives, which will also have a strong contribution to reducing our cost trajectory. And lastly, a clear focus on capital discipline going forward. Lastly on this slide, we pride ourselves in our ESG leadership. This is a key part of our strategy. And in 2024, we will continue to progress on all of our six priority areas, in particularly our decarbonization commitments, which I’ll talk to shortly. Moving on to our 2023 performance, starting with safety. Tragically, we had 2 fatalities last year, both at our Tarkwa mine in Ghana. And tragically, on the January 2 this year, we had a further fatality at South Deep. Clearly, this is unacceptable. And what we have done in response is to commission an independent review of our overall safety system of work, culture and systems with the objective of developing a single safety system of work that’s fit for purpose for gold fields that will provide a high level of assurance of our ability to work safely. I mentioned cost and production performance earlier. And whilst we achieved our guidance in 2023, what is critical is that we deliver on our guidance in 2024. We delivered an adjusted free cash flow of $367 million after an operating cash flow from operations of a touch over $1 billion. Whilst we increased debt marginally, mainly to fund the Salares Norte project, our debt levels at 0.42x net debt to EBITDA are stable and healthy. We continue to pace strong dividends and this year declared a final dividend of ZAR4.20 per share, bringing the total for the year to ZAR7.45, which is unchanged from the 2022 dividend and just over 40% of normalized earnings. That generates a dividend yield of a touch over 3%. I’ll touch a little bit more on Salares Norte later, but we are progressing commissioning with first gold expected by no later than April 2024. Earlier this week, the Board approved the go ahead to build a $195 million micro-grid at St. Ives comprising both solar and wind. This will be our most significant renewables investment to-date. It will provide almost 75% of the mine’s electricity requirements and have the impact of reducing the electricity bill by nearly half. Just moving on to our global overview. This is a snapshot of our business performance in 2023. We will go into the individual performance in detail a little later, but worth pointing out for now is the strong contribution of our Australian operations, which account for over 45% of our production ounces. All of our operations contributed to our adjusted free cash flow performance for the year, thanks in part prior to the higher gold price, but also due to the great performance of our teams in our operations. I think one of the positives to call out is, in particular, South Deep’s contribution and they contributed over $200 million of free cash flow to the organization. If you talk to the teams, this was almost kind of comprehensible a few years back and considering where South Deep has come from, I think this is a great achievement. Just moving on. Turning to ESG, which as you know, is our second pillar of the Gold Fields strategy. And I think this is a great example of the ESG commitment from the organization. And this is the 50-megawatt Khanyisa solar plant at South Deep. This has got over 100,000 solar panels and produces around 22% of the site’s electricity needs. In late 2021, the business set itself ambitious 2030 targets for its six key ESG priorities, three related to people and stakeholders and three environmental. On the safety side, tragically, we still have fatal and serious injuries in the business and I’ll talk about that in a short while. However, we did have no serious environmental incidents and we haven’t had for a number of years and it’s a track record that we should be proud of. We are making steady progress in increasing women representation in the business. We have achieved over 25% women representation against our target of 30% by 2030. And another program that we are proud of is the focus on value creation for our communities. In the past year, we generated around $3.8 billion of contribution to our broader stakeholder group and almost over $1 billion in our direct communities in the form of procurement, employment and investment. On the environmental front, I will talk about our decarbonization program shortly. But that, again, is a key part of an ambition to deliver 30% net reduction by 2030. On tailings, this is a critical issue for us and the industry and we are making very good progress in making our tailing facilities safer. We have a very strong technical team in-house that is actively involved in industry standard setting and industry benchmarking. During the year, we undertook a full self assessment of our priority tailings at Tarkwa and Cerro Corona in line with the global industry standard on tailings management and two of our upstream dams at Tarkwa transitioning to downstream facilities. On water stewardship, we are well on track to meeting the two targets we have set for 2030, namely recycling 80% of our water use and limiting fresh water usage at our operations. Moving on to safety. As I’ve said, we have a lot of work to do in our industry overall and that is no different to Gold Fields to improve the company’s health and safety performance. After reporting 2 fatalities last year and 1 to-date, we know that we need to do more. We have a range of safety processes in place across our business covering both leadership specific safety risk routines. We engage extensively with our people to support the design of work – safe design of work. We encourage our people to speak up when they feel they are not operating in line with standards. And if we cannot mine safely, we’ll not mine. Despite this work, we realized this is not enough and we need to do more. So what we are doing, as I’ve said earlier, is engaging an independent review. We are bringing together our teams to understand what we need to do differently and ensure that we understand the design of work to ensure that we can deliver safe, predictable work in our organization. If we go to the occupational disease frequency rate, there was a slight rise in the year and this was largely due to noise-induced hearing loss cases at South Deep and in Australia. You are also all aware of the findings of the respectful workplace report carried out by Elizabeth Broderick & Company during August last year. We are very much committed to delivering on the 22 recommendations arising from that report and we will provide further detail in our annual report in March. Moving to decarbonization, our commitment and action to decarbonize the business has been one of the company’s success stories. And to-date, we have had 5 of the 9 operations having a renewable source of energy. With South Deep and Gruyere coming on full stream for the period, it ensured that we had 17% of our total electricity mix from renewables and this contributed to a decline of 5% against our Scope 1 and Scope 2 carbon emissions, which we believe is a good progress in the 12 months. Last year, we also released and announced a target for our Scope 3 emissions reduction of 10% by 2030. This may not feel like a huge amount, but Scope 3 emissions make up 40% of our total emissions. And this will require a lot of engagement with our suppliers and contractors to achieve this reduction. We are very much committed to this decarbonization journey. And as I mentioned earlier, the Board has approved one of our most ambitious projects to-date, which is the St. Ives micro-grid combining solar and wind with current gas supplies from the grid. This is $195 million commitment. This year, we spend a significant chunk of that and that you will see coming through in our capital plan for 2024. This will allow St. Ives to have 73% of its energy electricity needs provided through renewables and results in an expected 50% of the energy costs. South Deep is also undertaking wind farm studies to further reduce their electricity requirements and dependence on Eskom. Lastly, I just want to outline the journey to 2030. As you know, our target is a 30% net decline on Scope 1 and 2 emissions. Since the gold production outlook is a little less certain, we are focusing on emissions intensity, which are the numbers circled on the graph. Here, you can see we are making good progress and shows that we are on track to deliver our 2030 plan with the planned and approved projects. The South Deep wind turbine project is captured in the scoping and trials and what we have also not captured in here is the impact on the Windfall project, which will be 100% renewables via hydropower. And that agreement was signed with the First Nations in January of this year. Beyond renewables, there is still a lot of work to be done across the industry. We are committed to continuing studies for diesel replacement. And this will be extended beyond just battery electric vehicles, but including conveyors and other forms of ore transportation. We did indicate with the announcement of our Scope 3 targets last year that we would come back to the market in 2025 with a full review of our commitments for the remainder of the decade and that will be certainly an activity we will communicate back to the market. Just turning to group and regional results for 2023. This is just a photo of the Tarkwa open pit, which is the largest mine in our portfolio, moving the most tons of dirt. Going to our group results, whilst production was marginally down, down 4% year-on-year, it was delivered 99.7% of our guidance for 2023. Production for 2024 is guided to be 4% higher against 2023 numbers. And this is after taking into account the fact that we had 60,000 ounces from Asanko in 2023 and zero in 2024. This year, we will see growth coming into the portfolio from Salares as it starts its ramp-up and South Deep as it ramps up from 322,000 ounces in 2023. The all-in cost increase of 14% highlights some of the challenged operating environments and managing a key – the costs are going to be a key focus for us in 2024. Additionally, you will see in the capital line, there is a significant increase in capital over the 2-year frame as we reinvest in the business. And again, coming back to capital discipline, this will be a key area for focus to ensure that we are delivering strong returns from the money we redeploy back into the business. The operating – operations delivered – generated adjusted free cash of just over $1 billion, which after deducting net capital expenditure, including Salares and Windfall environmental payments, lease payments and other expenses led to group free cash flow of $367 million. Moving to Australia, that the costs here are given in Australian dollars to show a year-on-year like-for-like comparison. This remains a cornerstone of our production base generating around $1 billion – 1 million ounces of production, which is around 45% of our portfolio. And this region is guiding for another 1 million ounces of production in 2024. In 2023, costs, both in all-in cost and all-in sustained were higher in Australian dollar terms. Mining inflation is – remains very heightened in Western Australia and in particular, labor costs, which are impacting the business. There was a 5% weakening of the Australian dollar against the U.S. dollar, which provided some relief in U.S. dollar terms. We are developing the invincible ore body and St. Ives into a long-life Tier 1 ore body. As part of this transition, we are investing in a sizable renewable energy solution, as I spoke about earlier, and considering the most efficient ore handling solutions to reduce cost and reduce our energy requirements. Gruyere had a tough 2023 as the resource capacity of the mine to handle its increase in planned volumes was insufficient. We have had a very strong collaborative intervention with the main contractor, the contractor principle as well as our partner in Gold Road. And we’ve also introduced a bigger fleet to enhance the skill set on site. There’s an active intervention ensuring that we ramp back up to our targeted production profile. Costs for 2024 across the region are guided to be 24% higher, of which 11% relates to the St. Ives microgrid, 3% to the underground open pit development at St. Ives and 2% to the additional stripping at Gruyere. Taking these projects costs out, costs are overall guided to be 9% higher, which continues to reflect the tight labor market conditions in Western Australia. As I said earlier, the production for 2024 is set to remain above 1 million ounces. Moving to South Africa and our South Deep operation. These costs are noted in rands per kilogram. South Deep had certainly some challenges in Q1 of 2023 with some ground conditions impacting production in the first quarter. The remainder of the year was really a catch-up for South Deep. The second impact was competition for key skills, which provided a headwind for the mine during the year. And in particular, the loss of drill rig operators and artisans to new underground mining projects that we’re willing to pay a lot more for these skills. However, the team managed to rehabilitate the ground condition successfully and get back on track during the second half of last year. Pleasingly, availability and staffing of development rules is back to where it should be. That had an impact of management production decreasing by 2% to 322,000 ounces in-line with the revised guidance. All-in costs and all-in sustaining costs were lower in U.S. dollar terms but rose in rand terms during – due to mining inflation and slightly higher volumes on a unit basis. Again, the difference explained by weaker rand against the dollar being 13% during the year. During 2023, South Deep successfully managed to extend the wage agreement by a further 2 years until 2026, which provides a good stable operating horizon for the business. Additionally, the initial development towards the south of Range mine began in 2023. Studies of the wind power to add to the 50-megawatt Khanyisa solar power plant also progressed during ‘23 and will be expect to be concluded this year. In 2024, we are focusing on a safe, reliable production delivery year as we look to ramp up towards the 380,000 targeted mine capacity level, and we expect this to be reached towards the end of 2026. It’s really important for us to understand that what is most important for South Deep is to continue to build on the successes that we’ve delivered in the last few years and to continue to ramp up incrementally so that we don’t move backwards. And as you can appreciate and look at the cash flow generation of the mine, this has been done really successfully and we need to just continue to build on that momentum. We are seeing some scheduled increases in costs in 2024 as a result of higher sustaining capital less levels due to an ongoing investment in renewables and the development towards South of Wrench. In Ghana, attributable production was 8% lower at 633,000 ounces, and this was largely due to the planned decrease in production at demand. Mining has now ceased at demand, and we continue to mine stockpiles for the next 2 years. Tarkwa’s production was 4% higher at 551,000 ounces and the mine remains a cornerstone asset for Gold Fields. What is also important is to understand the trajectory of costs and production in the region for ‘24 and ‘25. As Damang will only be processing stockpiles going forward it’s all-in sustaining costs are expected to increase materially as we expense a portion of costs that were previously capitalized as the stockpiles were being built. This will distort the regional costs over the next 2 years, However, the mine and region will still generate a significant amount of cash at spot gold prices, given that there’s a lot of accounting costs captured in those unit costs at Damang. In the region, we also announced the sale of our 45% stake in Asanko at the end of last year. And that was announced by our partners as having fully completed during this week. And we’re also looking at Damang and trying to understand what the ideal future status for Damang. It’s really important that we act on this responsibly. It is a mine that is just over 20 kilometers away from our Tarkwa mine. And so managing the community effectively and responsibly as we as we manage that asset is really important for us in line with our values and our strategy. Lastly, the engagements with the government on the Tarkwa/Iduapriem JV are continuing. And whilst the tone of these discussions have become more collaborative and we engage very regularly. We are fully cognizant that this is an election year in Ghana, and that undoubtedly will have some potential impact on the timing of these engagements. On Peru, gold equivalent production at Cerro Corona was 8% lower at 239,000 ounces with costs up 15% as a result of that lower production. This was impacted by two things: unseasonably heavy rain in H2 2023 significantly impacted production at the mine. But it is also a mine that’s coming towards the back end of its life, and we will see some variability in mine production. Studies are underway to optimize the asset as the mine’s current production profile is scheduled to decline after 2025 when it will start processing stockpiles. We are also still awaiting the EIA approval for input tailings, which will enable that process to continue. I will now want to move to Salares Norte, and this is a an issue which is undoubtedly top of mind for many of our stakeholders and investors. And whilst the focus very much in getting this mine into production, we continue to invest in exploration. This is a photo of our geologists that work in nearby tenements looking for further opportunities to extend the life of Cerro Corona of Salares Norte into enter the future. The Salares Norte project is now 99.4% complete on a construction basis. The key circuits, Circuit A and Circuit B, have progressed significantly. And as I’ve shown earlier, mining has continued throughout the project, and we have around 520,000 ounces of gold equivalent on the stockpile ready for processing. And the photo that I showed on the cover showed how far we have mined in the Brecha Principal Pit. In December, we unfortunately announced a further delay in the first gold and subsequent ramp-up. We fully acknowledge that, that was a bit of a surprise to the market and unfortunate. But I think it was done with the right intention of ensuring that we deliver a safe and reliable ramp-up of this business which continues to remain a world-class deposit and one that will generate significant value for our shareholders in time to come. Since then, we’ve been progressing and the construction, and we’ve seen a significant step-up in labor availability from our contractors. And as of last week, we actually had our site completely full with contractors and our own employees. We are progressing well on addressing the outstanding pre-commissioning and commissioning activities. We made very good progress on circuit A. And on the February 15, we produced the first filtered dry stack tailings in the business. And that will be – and there will be a vote later, which will show what that looks like. We are also still targeting first gold for by April 2024. We’ve made very good progress on our production, and we feel confident that the completion of commissioning is on track. We did commission an independent review into the project schedule for first gold. This was completed by Hatch, undertaken independently and they’ve verified and confirmed our schedule. We also have Hatch working on the second phase of the review, which is the full ramp up. Initially, we worked on a 12-month ramp-up to full production and that we expect in the next 2 weeks. There’s nothing at this stage that leads us to believe that, that would not be achievable. On capital, our guidance for the next 3 years is firstly, 250,000 ounces for 2024, 580,000 ounces for 2025 and 600,000 ounces from 2026. What is important to note is that for 2025, we will see a slight back dating or balance of production coming in the second half of the year as we are due and scheduled to take a small shut in the Q1 of 2024 to do the final calibration of the plant. Our cost guidance for this year because of the lower production is in the region of $1,790 to $1,850 per ounce and that’s because of the production profile as well as the increased capital for the project. However, thereafter, the cost will return to the previously advised level of less than $800 per ounce for 2025 to 2029, and that will provide a significant dilution to the overall cost for the group. The final project capital is expected to be in the range of $1.18 billion to $1.2 billion which is an increase on the previous guidance given the higher contract costs and the additional spend due to the additional time on site. Just moving on to the next. We will show a few photos from Salares Norte. And maybe just as I start this, the one thing that Gold Fields has been acknowledged for many, many years, and I think this is a demonstration is that South Deep mines at 3,200 meters below the surface and in sometimes very challenging conditions and Salares Norte is mining at 4,600 meters above sea level. And I think it’s a testament to the technical capability in our organization that can deliver on these projects. What we can show in the project is on the right, this is the dry stack tailings, which have been produced. You’ll see on the bottom left, this is the tailings storage facility which it will be all dry filtered tailings. And then on the top right, just showing some of the plant from an aerial view. With that, I’ll hand over to Paul to take us through the financials.
Paul Schmidt: Thanks, Mike. Good day, everybody. Mike has alluded to a lot of the numbers, but just some of them that I want to talk to normalized earnings. $900 million, up 5% year-on-year. Adjusted free cash flow, $367 million. I’ll talk to it on the next slide, we have done a reconciliation, all-in costs, $1,512 per ounce within our original guidance of $1,480 and $1,520 per ounce. The final dividend, I just want to talk to our final dividend of $4.20 and our total dividend of $7.45 for the year. If we compare it to last year, as Mike said, it’s similar. However, last year included $0.185 that related to Yamana break fee. So if we compare apples for apples, we have increased by 33% from ZAR560 to ZAR745. Net debt has increased quite a bit from last year to 1024. The main reason being we have invested $316 million into Windfall being part of the acquisition price, capital that we’ve expanded. If we exclude that, net debt would have been similar at around $710 million year-on-year. What we’re really, really proud of in terms of our loans and ESG, we did two green loans this year, a $1.2 billion loan and a AUD500 million loan and the three measurables we had was gender, water and decarbonization. Can we move to the next slide, please? This provides a breakdown of the cash flow. And Mike spoke to it, but I want to emphasize the $204 million made by South Deep. 5 years ago, when the market was putting pressure on, why don’t you sell South Deep? We had said, we believe in South Deep. And if it gets up to where we want it to be, it can provide an annuity of circa $200 million free cash flow a year. Well, now we’re starting to see it $204 million, so just over $1 billion free cash flow from the mines. We obviously then invested into Salares. We invested – this is the capital contribution, the normal capital for Windfall. We then obviously had our interest bills and then non-mine costs and working capital, giving the $367 million free cash flow that we had for the year. If we move to the next slide, the only point I want to highlight here is that in May, our 2024 bond matures of $500 million, and we will be paying it out of bank facilities that we have. I’ll now hand back to Mike. Thank you very much.
Mike Fraser: Thank you, Paul. I just wanted to close on a brief outlook on the strategy and a bit of a focus for us in 2024. 2024 is going to be a significant – another significant CapEx year for Gold Fields. Total CapEx for the year is expected to be between $1.13 billion and $1.19 billion. And this includes sustaining capital of $860 million to $890 million. What is important to note is in that number is that we actually have around $132 million for St. Ives micro-grid, which is one could argue is a one-off number. In addition, we have $116 million for Salares Norte plus another $32 million for working capital build at Salares Norte. So that $280 million is quite an unusual spend in the year, and that would certainly take us back to a more normalized level of capital going forward. For 2024, group attributable gold equivalent production is expected to be between 2.3 million ounces and 2.43 million ounces. As we said earlier, this is slightly higher than the 2023 actual and reflects the contribution from Salares and from South Deep and offset a little bit about against Demand and Cerro Corona who are planned reductions. All-in sustaining cost has guided to be between $1,400 and $1,440 per ounce, with all-in costs expected to be between $1,590 and $1,630 per ounce. Again, if you take out the St. Ives micro grid this has quite a big impact on bringing that back to more normalized levels. Our priorities for 2024, really, first and foremost, is ensuring the physical and wellness of our people, employees and contractors, continuing to drive the – particularly the priority findings from the respectful workplace report and undertaking the full review of our safety system will work across Gold Fields. Secondly, predictable delivery of our plan. We’re fully conscious that we need to be able to deliver what we commit to deliver on. And we will focus very hard to delivering on the plan that we’re presenting and the guidance that we presented. Importantly, that we start addressing the rise – the trend of increasing costs. And related to that is ensuring that we remain disciplined on the deployment of capital and ensuring the capital we do deploy, is returning – is providing good returns for the organization. Thirdly is to continue to make the progress against our 2030 ESG targets and particularly relating to our decarbonization journey, which we believe will be a differentiator in terms of our strategy. Additionally, to continue to improve the quality of our portfolio and the projects in the portfolio, particularly Salares Norte, which is a significant improvement for our portfolio. Delivering on the Tarkwa/Iduapriem JV and continue to progress the Windfall project. And with that, I’d like to thank you for listening and hand over to Q&A.
A - Unidentified Company Representative: Thanks Mike. I have two questions on the webcast. We also will be handing over to the conference call to take questions, if you don’t mind. The first question is from Yaameen Gosain from Laurium Capital. And he says good day, please kindly explain why Salares Norte production falls off so sharply from 580 in 2025 to an average of 485 between 2025 and 2029 in terms of averages.
Mike Fraser: Hi, Yaameen, and thank you very much for that question. What we always knew is that Salares Norte is a very high-quality asset with certain high-grade areas. And what we are doing in optimizing the mine is accessing the higher-grade parts of the ore body first and processing that first because that was the optimized way of extracting value for this project. And it was always anticipated that we would see a production decline over the years. And that’s why when we’ve come out in the guidance today, we’ve also spoken about what that profile looks like until 2029 and then for the remainder of the project. This was always anticipated in terms of our understanding of the current ore body. But as I mentioned and alluded to earlier, we continue to do nearby exploration to find opportunities to extend the life of that asset and find additional sources of ore to fill that mill beyond what our known resource looks like. But this remains a world-class asset and will continue to be so for a number of years going forward.
Unidentified Company Representative: Okay. Good. And the second question is also around Salares, Mike. It says given the Salares delays, please, can you clarify when the chinchilla relocation becomes an issue? In other words, when do you expect to start mining the impacted area?
Mike Fraser: Thank you for the question, Catherine. And look, I think the – first and foremost, the chinchilla relocation is a really important demonstration of our values. To-date, we have identified through 36 chinchillas through the extensive monitoring that’s been undertaken in the potentially impacted rockeries. We actually start commencing the relocation of the chinchillas at the end of February. We will continue this until around May, which we will then pause during the winter months and continue that once the summer starts. This is around an 18-month program and we are investing a significant amount in bringing in a number of independent experts to support us to ensure that we do this safely and with the right degree of care. To answer your question in particular, we only really start getting to Agua Amarga in around quarter two of 2029. So, it’s actually quite a long way away. But we want to get ahead of it and actually do this to ensure that there is no impact at all through the mining of Brecha Principal and also because there is one of the rockeries is quite close to one of the waste dumps. We want to make sure that we actually do this now rather than wait. So, there is no risk really in terms of future mining.
Unidentified Company Representative: Thanks Mike. The next one is from Andrea Phillis from Risk Insight, and it’s not a question. She says, risk insights has been generating ESG ratings for Gold Fields since 2016, it’s encouraging to note the consistent positive ratings and the observed improvements across all the areas. This demonstrates the company’s commitment to enhancing its environmental, social and governance practices over time, which is commendable and aligns well with sustainable business practices. So, at least that’s a bit of positivity. And then on the next one is from Emmanuel Mungari from Bloomberg Intelligence. It’s mostly for Paul. He says going through a period of sticky cost pressures and higher CapEx, should the gold price weakness starts to eat more into your cash margins? Are there any other levers you can pull that could keep costs specifically AISC within range or lower? And what do you consider as a targetable debt level or range?
Paul Schmidt: I will answer the debt first. We have always said anything below 1x net debt to EBITDA, we would be comfortable with. Obviously, we are below 0.5x, which makes us incredibly comfortable. In terms of the pressures on the costs, a lot obviously depends on the oil price. We got some positive tailwinds last year, but we have seen oil starting to tick up this year. Obviously, during this year, Mike has alluded, we will look at our capital spend and make sure that we spend the capital in the right places and at the right amount. And that should theoretically help us on our all-in sustaining cost.
Unidentified Company Representative: Good. And a follow-up question for Mike from Emmanuel. Are there any pain points in the business that you have identified that you would like to tackle immediately in the business, if any?
Mike Fraser: So, thank you, Emmanuel. And I wouldn’t say they are pain points, but I think they are really opportunities for us to improve. I think we have spoken about safety. I think really bringing that first and foremost into our mindset and responding to that is really, really key. Delivering on Salares Norte, I think will be really value added. And I know it’s been disappointing that there has been delays, but I don’t want to stop reiterating, this is a world-class project and one that many people would love to have in their portfolios, and it’s going to be a very strong cash generator for us. And then obviously, we have spoken about the leadership changes. And I think that could create nervousness. But I would say that everybody who is here is leaving, including Paul, he has been well foreshadowed that he is leaving at some point. He has been super helpful for me in terms of my onboarding and very professional as we move forward. So, that’s certainly not a pain point. But the one thing I would like to do is to see our organization working a lot closer together. And the way that our business had been set up in the past is very much on a regionalized basis. And I would like to leverage off the great capabilities that sit in different parts of our business. So, I see it more as an opportunity than a pain point.
Unidentified Company Representative: Thanks Mike. The next one is from Sandile from Umthombo Wealth. He says, what’s next after Salares and the Yamana setback?
Mike Fraser: Thank you very much for that question. And I think the way I would like to answer that question is, this sector, the gold sector is likely to undertake further consolidation one way or another. There is a wide range of different valuations on assets in the market, and there is not full price discovery on certain assets. I think we feel confident that we have a good process and system in place to identify options to grow and to replace reserves. And I will talk about those separately because I think the way that we think about growth is not just in the form of ounces or production ounces, but actually in growing the value of the company by growing cash flow per share. And that means that we have to continue to focus on bringing quality ounces into our portfolio. We will always be looking at bolt-on acquisitions. Windfall was a great opportunity. We can never close our minds to transformational M&A, but I would say that that’s a very – we certainly aren’t looking at that right now. And our focus this year is very much on delivering the things that are or within our basket right now.
Unidentified Company Representative: Thanks Mike. And then the last question is from Chantelle Baptiste from Fairtree [ph]. Perhaps to Paul, how much CapEx do you need to spend on Windfall over the next 3 years?
Paul Schmidt: We have got about $45 million, correct me if I am wrong, for the 2024 year. Obviously, when we go into 2025 and assume that we have got the EIA and we make our second payment of CAD300 million, we still have to approve the capital project, which that – so I can’t give you a number because we are waiting for that, and we are working at the moment to come up with a revised number as it was previously disclosed by our partners with Windfall. So, I can only give you for ‘24.
Unidentified Company Representative: Thanks Paul. That’s it from the webcast questions. We are going to go over to the conference call. And I think there is three questions that are pending.
Operator: Thank you. The first question is from Cameron Needham of Bank of America Securities. Please go ahead.
Cameron Needham: Thanks for the presentation. Two questions from me. Firstly, just on South Deep and ramping up to 380,000 ounces. I would think that this is going to take a lot of management time and internal resources, particularly given the timeline of the ramp-up. In terms of really delivering value through incremental cash flows per ounce and then being able to deliver this consistently, do you think this is the sort of best use of internal resources? And how do you think about this versus perhaps leaving in its current position, whereas delivering solid cash flows, not pushing the asset too hard and then allocating those resources elsewhere. And then just a very quick second question on the micro growth. I think Mike, you said that it will save about half of your energy cost there. Apologies missed, but can you just quantify what your energy cost was there in 2023 for us, please? Thanks.
Mike Fraser: Thanks Cameron for the question. Just on South Deep or maybe just to clarify, I think that team is largely self-sufficient. It obviously does call on some of the resources from our technical teams. But in terms of their ramp-up and the management of that asset, it’s pretty much self-sufficient. So, I wouldn’t say that this is a huge drag on the organization. And really, we have got some great capability. And I think Martin, during his years as leader of that asset has really brought in some quality people and set it up for success. This is an asset with a very, very long life ahead of it. And so you can make some of those investments that have the ability to reduce costs and set it up for long-term success. So, as we think about the ramp-up and that’s why we have been quite cautious in this ramp-up, I would much rather us do this in a value-accretive way, then try and force the targeting of a production number, which then takes us backwards. So, exactly to your point, we are going to go at the pace at which is right for that business and go at a pace at which continues to build on the gains that we have had in the past rather than going backwards. And if that means that we kind of a little bit softer on the numbers in the outer years, and we hit the 380 a little bit later, but we continue to generate good cash flows, then we should be happy with that. On your second point about St. Ives, and we can get the number and get back to you. But I think the key number that we want to call out is, currently, they are paying around $0.18 per – sorry, around $0.20, and we take that down to around $0.09. So, it’s quite a big reduction and that’s where we get to the over 50% reduction.
Paul Schmidt: Cameron, we can get back here as to what is the actual electricity cost, it’s a dollar number, but it’s more than 50% lower when we go on to the solution.
Cameron Needham: Appreciate the color. Thanks very much.
Operator: Thank you. The next question is from Adrian Hammond of SBG. Please go ahead.
Adrian Hammond: Hi Mike. Thanks for the presentation. I would like to ask you a question around the investment case for Gold Fields. Now, this year was meant to be a year that Gold Fields moves down the cost curve, but we are finding it moving up quite quickly. And it’s now no longer comparable to its peers. Stock is down almost 8% and you know it’s fault of your own, but you have a fresh pair of eyes on this company. Can you tell us if this – what there is to look forward to will Gold Fields be able to return back into the first half of the cost…?
Mike Fraser: Yes. Adrian, I think there is a couple of things in that. One is Salares hurt the company, no doubt, because we were expecting to see a much bigger contribution from the ounces. We were not expecting to see the additional capital spend this year for Salares. And I think those two things on their own has had quite a negative contribution – negative impact. I think as we look forward going forward, as we see the ramp-up from Salares into 2025, we should be able to start seeing some of the benefits of bringing us back down. But the second area, which I think is – and I can’t pull out specific numbers and give you specific commitments. But I think the area that we really are going to have to be very smart at is how we deploy capital. And it’s quite legitimate to be saying that we are investing in long life extensions of our assets and creating future optionality. And all of that capital comes at a much lower cost per ounce than having to go out and buy something. So, I think we may need to do a better job of kind of talking about how the ebbs and flows of capital is deployed in our business and how we use – how we time the addition of internal reserves and creating capability for future life extension. So, maybe that’s something that we just need to do a better job to be perfectly honest, because if you look at them all in isolation, they make a great deal of sense for the business and great economic sense. But again, we have got to be sensible, and that’s why I talked about it earlier in our capital allocation model when we do have free cash flow available that we have got to make sure we have robust models that decide on how we make the trade-offs between the different uses of that cash. That includes exploration, investing in nearby mine extension, investing in infrastructure and trading that against other uses of cash, including capital management. So – but I think that’s the conversation we are going to have to really look at ourselves at and come back and talk about in due course.
Adrian Hammond: Thanks Mike.
Operator: Thank you. The last question is from Leroy Mnguni of HSBC. Please go ahead.
Leroy Mnguni: Good afternoon everybody. Thanks for the opportunity. I have got three questions. The first one is for Mike. You mentioned earlier that one of your focuses for the business will be extending reserves or adding on to reserves that you can bolster the longer term sustainability of the business. I was just curious as to which you find to be more value accretive going out into the market and buying more reserves or increasing reserves through exploration. And my second question for Paul. Some of your peers in the market, and I know you have done it in the past as well as sort of given us some guidance as to what they feel is a range or a reasonable range for SRB [ph] CapEx per ounce for the business that we can use for sort of medium-term guidance. And I am curious as to whether you have got a range in mind. And just on Salares for Mike, I guess April is fast approaching, and I see on Slide 18, there are some items that are reflecting is to be started. Could you please share with us what are some of the key KPIs or milestones that you are looking out for and that’s critical to ensuring that you deliver on your April target?
Mike Fraser: Great. Thank you very much for those considered questions, Leroy. Just – I think just starting on the reserve addition, I think just putting this in a strategic context. So, Gold Fields has got a really good look on in its reserve profile for the next decade where we can kind of assure ourselves we are going to have a very good production profile that sits within the range of what we have produced over the last couple of years. So, I am not so concerned about the near-term issue of reserves. But importantly for us as a business and the sustainability of our business, we have got to look at reserves beyond that date. And there is a number of ways we can do that. And they are not always going to be – it’s not always going to be one answer each time we look at it. As I have said earlier, I think the industry has got some mispriced assets. But if we are going to get into doing M&A, it’s got to be smart, and it’s got to be things like Windfall, which I believe has been a great investment and will be a great investment for Gold Fields. And hopefully, we can find other projects like that, that makes sense for us. When we talk about exploration, there is two ways of accessing or multiple ways of accessing. We can do proprietary greenfields, which offers an expensive and long dated, we can access greenfields through junior partnerships, which I like as a pathway because it really incentivizes people who are entrepreneurial to do the right thing, and also through our own near mine reserve additions. And one would hope as we consider the trajectory of the work that we need to do on costs is that we can actually bring the line down and add some more from our own internal opportunity set and our own internal resource to reserve conversion. So, we do need to do a whole lot of work. There are a lot of targets really that we continue to look at all the time. But I think for us to be successful, we need to have a huge pipeline of opportunities that we keep alive at low cost and respond when the opportunities arise. So, that’s how we think about it. But not – there is no one particular pathway that I would say is going to be the silver bullet for us. And just talking to Salares, and then I will hand it back to Paul, if it’s okay. So, what we have instituted and between Paul, myself and a number of the leadership team, we actually have a weekly meeting with the project team where we actually review all of the project KPIs and the project performance on the project. We receive a daily report on project progress. We look at the number of people on site. We look at the punch list items. We look at progress on the individual circuits. We are looking at a schedule on a daily and weekly basis on progress. So, I am quite comfortable there is a very good set of oversight on that business now. And I am quite confident that there is nothing that we are not aware of in the project that could surprise us. We had Martin as well as Francois [ph], our Chief Technical Officer, was on site for a couple of weeks in the beginning of February and went on site and validated it. I was at Salares, on-site met with the project team, walk the process plant. And as I have showed in the photograph earlier on, this is actually our mine. That’s going to be a world-class facility, and it’s just disappointing that we have lost a bit of our – the shine on the project because of some of the delays. But I don’t know, Paul, you may want to add and then of course…
Paul Schmidt: No, I am comfortable. I am sorry, on the sustaining capital, Leroy, it’s the same number I have discussed last year between $350 and $400 an ounce. For us, since we classify any decarb capital as sustaining. Lots of other people call it as non-sustaining. So, if we exclude decarb capital, we are around $350 to $400. And if you go back to when Mike gave the guidance, and we did the buildup and we excluded Salares and we excluded the St. Ives micro grid, we kind of had that number for this year as well. So, nothing has really changed from what I guided last year on SRB capital.
Unidentified Company Representative: And thanks Martin – sorry, thanks to Mike and Paul. There are no more questions on the conference call either. So, that’s it for those questions.
Mike Fraser: Great. Thank you very much, everybody, and thanks for your time today, and thanks for listening to us.